Operator: Good afternoon. Thank you for joining Ingram Micro's Third Quarter 2024 Earnings Call. I'll now turn the call over to Willa McManmon, Head of Investor Relations.
Willa McManmon: Thank you, operator. I'm here today with Paul Bay, Ingram Micro's CEO; and Michael Zilis, our CFO. Before I turn the call over to Paul, let me remind you that today's discussion contains forward-looking statements within the meaning of the federal securities laws, including predictions, estimates, projections or other statements about future events, statements about our strategy, demand, plans and positioning, growth, cash flow, capital allocation and stockholder return as well as our expectations for future fiscal periods. Actual results may differ materially from those mentioned in these forward-looking statements because of risks and uncertainties discussed in today's earnings release and in our filings with the SEC. We do not intend to update any forward-looking statements. During this call, we will reference certain non-GAAP financial information. Reconciliations of non-GAAP results to GAAP results are included in our earnings press release and the related Form 8-K available on the SEC's website or on our Investor Relations website. With that, I'll turn the call over to Paul.
Paul Bay: Thank you, Willa, and thank you, everyone, for joining our first earnings call after our October IPO. We are excited to be back in the public markets and pleased with our third quarter results. In the quarter, our key metrics of net sales gross profit margin, adjusted EBITDA and non-GAAP net income exceeded or landed at the top-end of the ranges in our S-1 filing with the SEC in October. Mike will dig deeper into the numbers. But first, for those of you who are new to the story, I'll briefly discuss what we do and how we evolved since we were last public in 2016. We'd like to say that you've never had a day without Ingram Micro. Put simply, we reached nearly 90% of the world's population with technology solutions. We work with more than 1,500 leading technology vendors to provide end-to-end technology solutions to our more than 161,000 customers globally. And together, we can do business in nearly 200 countries. It's important to note that our combined presence in Asia-Pacific, Latin America and EMEA markets now represents roughly 2/3 of our global net sales. Our customers provide solutions and services to end users ranging from small, medium-sized businesses to Fortune 1000. Our strategy is driven by the massive trends that are changing the technology landscape for our customers, including the migration to cloud and subscription, the need for enhanced security, the exponential increase in connected devices and everything as a service, along with the other increasing interest in embedded AI. These trends are behind what IDC defines as an over $3 trillion addressable market. We are addressing this market opportunity by taking the friction out of the way IT sales channel and the B2B companies and how they operate. Our aim is to transform our business into a platform company that enables the IT ecosystem to move from transacting to interacting across multiple categories. We put the customer at the center of everything we do to create a better, more intuitive experience. A fundamental part of this transformation is the investment of more than $600 million over the past decade into our cloud business and marketplace. In addition to our organic growth, we have invested in more than 40 acquisitions to acquire high-value technical resources and market expertise as well as to expand across geographies. We have now parlayed that baseline investment into our AI-powered digital experience platform at Ingram Micro, we call Xvantage. Xvantage is powered by our patent pending technology in over 100 internally developed AI models. We launched Xvantage in 2022, and it's now live in 14 key countries around the globe. Xvantage provides our customers, our vendor partners and our team members with personalized single pane of glass through which we offer a full dashboard of data, analytics and insights. Because of the unique way Xvantage is built using AI-powered modules and independent digital engines, many tasks that previously took hours or even days such as order status updates, price quotes and vendor catalog management activities can now be accomplished by the platform in a matter of minutes or even seconds, driving significant efficiency gains across the value chain. Leveraging our 45 years of investment and IT distribution experience and the insights gained from hundreds of millions of Ingram Micro's transactions over the past decade, Xvantage provides what we believe is the industry's first comprehensive and streamlined distribution experience. Through Xvantage, we can quickly adapt to customer demand in the constantly shifting IT landscape. Today, we believe we can reach nearly 90% of the world's population because of those investments we made to expand into high-growth emerging markets and technologies. Our 24,000 team members put our customer and our vendor partners at the center of everything we do, and I'm profoundly grateful to them for their dedication and focus as we revolutionize the market. We believe our strategy of investing ahead of the curve, leveraging our global reach and continually innovating, focusing on the quality of net revenues is why we win. In the coming quarters, we expect to continue to invest in our own digital transformation while maintaining relentless focus on day-to-day operational excellence to deliver consistent profitable growth. I look forward to sharing our progress, and I thank you for being part of the Ingram Micro journey. I will now turn the call over to Mike to discuss the financials. Mike?
Michael Zilis: Thanks, Paul, and thank you, everyone, for joining us today. As Paul said, we are pleased to again be a public company and look forward to working with you as we build upon our track record of profitable growth with a focus on quality of revenue. The third quarter was solid with the results exceeding or hitting the top end of our expectations previewed in our S-1 filing on October 15. In the quarter, we reported net sales of $11.76 billion, down 1.4% year-over-year, driven primarily by lower net sales in our North America and Latin America regions, partially offset by net sales growth in our Asia-Pacific region. Our focus on quality of revenues drove a 2 basis point improvement on our gross margins year-over-year despite a continued competitive market and headwinds in our higher gross margin networking category of products. We are diverse geographically with more than 1/3 of our business coming from higher growth parts of the world such as Asia-Pacific, Latin America and Middle East and Africa. We also bring product, service and solutions breadth with offerings in 4 categories, which we deliver across our 4 geographic segments. First, client and endpoint solutions, which includes higher volume products such as PCs and smartphones. Second, Advanced Solutions, where we offer enterprise-grade hardware and software and related services, which generally yield higher gross margins. Third, cloud, which encompasses over 200 third-party cloud services or subscription offerings, and has now grown to a double-digit share of our gross profit globally. And lastly, our other offerings, which include fee-for-service IT asset disposition and reverse logistics and repair services. During the quarter, we saw a mixed performance across these categories. Both client and endpoint solutions and advanced solutions were impacted by macro headwinds, including delayed PC and networking refresh cycles. While we saw double-digit top-line growth in our cloud and other categories. Long-term, we expect a shift in our product mix towards higher-margin advanced solutions and cloud products as the technology landscape shifts to increasingly complex solutions with more products being consumed on an as-a-service basis. However, we also stand ready with our breadth of vendor relationships and our product line card to capture our more robust PC notebook refresh cycle as it begins to ramp up more significantly. Shifting now to our regional segments. I'll start with North America, where our net sales were $4.3 billion compared to $4.6 billion in the prior year. The year-over-year decrease in North American net sales was primarily driven by a decline in net sales of client and endpoint solutions across multiple subcategories in the United States. EMEA net sales totaled $3.5 billion, a slight decrease of 0.1% compared to the year-ago quarter. This was a result of a softer net sales of reverse logistics and repair business in the region, while each of the other categories grew modestly year-over-year. Asia Pacific net sales of $3.2 billion were up compared to $2.9 billion in the prior fiscal third quarter. The solid growth of 8.8% year-over-year was driven by strong growth in net sales of client and endpoint solutions, led particularly by growth in mobility distribution and in smartphones and consumer electronics. Finally, Latin America net sales totaled $0.9 billion compared to $1.0 billion in the prior year. This was primarily driven by softness in net sales of client and endpoint solutions attributed to declines in mobility distribution, notebooks and consumer electronics. Third quarter gross profit came in at $845.5 million or 7.19% of net sales, up 2 basis points from 7.17% of net sales in the same period last year. The year-over-year increase in gross margin was driven by a shift in sales mix towards our higher-margin cloud-based solutions and other services, particularly in North America. Operating expenses totaled $627.3 million for the third quarter or 5.33% of net sales compared to 5.39% in the same period last year. The prior year included $19.1 million or 16 basis points of net sales associated with restructuring charges for our cost reduction efforts completed in the prior year. We intend to continue investing in innovation while continuing to improve our OpEx leverage as we also benefit from the increased efficiency Xvantage provides. Since the beginning of 2023, we have taken $140 million of OpEx out of the business because Xvantage allows for higher automation and more value-added deployment of our resources. This provides a compelling profit story as we leverage this increased productivity going forward. It's important to note that operating expenses this quarter also included $8.8 million or 7 basis points of net sales related to costs incurred in connection with the refinancing of our credit facilities in September of 2024. This refinancing not only extended our Term Loan B maturity to 2031, but also reduced the interest rate spread over SOFR by 25 basis points. At the same time, we also extended our asset-backed lending facility out to 2029. These refinancings leave us well capitalized to fund our business needs and related investments going forward. Adjusted income from operations totaled $253.9 million in Q3 and adjusted income from operations margin came in at 2.16% compared to 2.23% in the same period last year. But the current year ratio is inclusive of 7 basis points of net sales impact from our debt refinancing charge that I just mentioned. We are quite proud of the fact that we have maintained this level of profitability in what has remained a softer environment in several areas as we have not only managed the business well to drive gross margin accretion, but we have also managed costs well despite a continuing inflationary environment across much of our ongoing cost base while also making targeted investments towards our long-term strategic growth. Our non-GAAP net income for the quarter was $159.2 million compared to $148.6 million in the comparable period last year. Q3 non-GAAP diluted EPS was $0.72. Q3 adjusted EBITDA totaled $331.6 million, compared to $314.0 million in the comparable period last year. Turning to our balance sheet. At the end of Q3, net working capital was $4.3 billion, compared to $4.4 billion to close the same period last year. We continue to manage our collection cycles well even with some pressure of more business concentration in Asia-Pacific markets where collection times tend to be a bit more prolonged. We also manage our payables to our vendors to maximize our net working capital. We continue to be thoughtful in our approach to inventory management. Increasing inventory by 6% year-over-year as we see a more normal supply chain environment this year, but also a tuck environment that is expected to return more holistically to growth. Adjusted free cash flow was a negative $254.6 million for the quarter as we typically invest in inventory during our Q3 to serve the higher seasonal sales in our Q4. Our year-to-date adjusted free cash flow is a positive $106.1 million as we continue to manage our balance sheet with an eye towards return on investment and continuing to drive profitable growth and quality of revenues over time. As noted in our S-1, subject to the discretion of our Board of Directors, we anticipate paying a quarterly cash dividend beginning in the first quarter of 2025. As I touched on earlier, regarding our refinancing of some of our key debt facilities in September, we paid down our Term Loan B by an incremental $100 million in September. Including the $233.1 million paid down with the primary portion of the IPO proceeds in October, we've now paid down nearly $500 million of our term loan balance this year. And we've repaid more than $1.55 billion on term loans since April of 2022. As a result of these debt reductions, our interest expense was lower by $12.1 million year-over-year. The benefit of the further paydown with IPO proceeds as well as the interest rate spread reduction on our Term Loan B refinancing will drive further reductions in interest expense starting in Q4 and beyond. As we look to 2025, we believe the headwinds I mentioned above will become tailwinds with PC and networking spend rebounding. Together with the megatrends that Paul discussed, we believe the IT market is stabilizing, such that even if Q4 is a bit more gradual in the trajectory of the improvement in the demand environment, we remain very positive on the medium to long-term growth prospects for the business. For the fourth quarter, we forecast net sales in the range of $13.0 billion to $13.5 billion, representing year-over-year growth of roughly 2% at the midpoint. As I mentioned, we are very focused on quality of revenue and expect gross margin to expand over time as our mix shifts towards higher-margin advanced solutions and cloud. For the fourth quarter of 2024, we expect gross profit to be in the range of $935 million to $985 million and non-GAAP diluted EPS is expected to be in the range of $0.85 per diluted share to $0.98 per diluted share, which is based on weighted average shares outstanding of approximately $231.8 million. Our Q4 GAAP tax rate is expected to be approximately 43% and our non-GAAP tax rate is expected to be approximately 34%. Our GAAP tax rate is heavily impacted by the limited deductibility of onetime charge of $32.4 million associated with the conversion of our participation plan to a share-based program post IPO. However, our non-GAAP tax rate in Q4 will also be negatively impacted partly by the anticipated level and mix of profits in the quarter, but also by onetime executive compensation impacts that are limited as to deductibility under Section 162m. These items inflate our non-GAAP tax rate by approximately 3 percentage points, which, in turn, negatively impacts our non-GAAP net income per share in Q4 by approximately $0.04. These tax rate impacts are largely unique to the fourth quarter due to the deductibility limitations I just noted. Thus, we expect our tax rate to return to more normal levels in 2025 and beyond. Before I turn the call over for questions, I'd like to thank all of our team members and the many partners and customers who helped us in our return to the public markets. We believe we are well-positioned for growth with our global presence, diversified net sales, improving efficiency and profitability and significant opportunity for adjusted free cash flow generation. Our shift to becoming a platform company, which is well underway with our investments in Xvantage is a huge differentiator, and we are truly optimistic about Ingram Micro's place in the center of the ever-evolving multitrillion-dollar IT ecosystem. With that, we are now ready to begin the Q&A portion of the call.
Operator: [Operator Instructions] Our first question is from Erik Woodring with Morgan Stanley.
Unidentified Analyst: This is Mae on for Erik. You talked a little bit about expectations for a rebound in PC spend and networking in 2025. And I realize you don't break down on a quarterly basis at the product level, but kind of what are you seeing within other areas of advanced solutions like servers and storage and what are your -- maybe any thoughts that you have as you look into next quarter in 2025?
Paul Bay: Yes. Thank you for the question. This is Paul. So as we look at you called out kind of the Advanced Solutions, one of the bigger ones where we have had headwinds this year is networking coming off of the comps that we had last year, and starting to see some line of sight to that getting back to not as significant of declines really going into Q4. So we think that we have line of sight to that getting better. The notebook and desktop refresh, it has gotten better every quarter throughout the year. So Q1 year-over-year, Q2 year-over-year, Q3 year-over-year. And so we think that, that will continue, just maybe not at the momentum that maybe the analysts industry analysts that predict kind of what they thought the refresh would look like, but we're seeing momentum around kind of that starting to happen right now.
Operator: Our next question is from Samik Chatterjee with JPMorgan.
Samik Chatterjee: I guess maybe, Paul, if I can sort of follow-up on that question and ask for your thoughts related to, as you start to see some of this rebound, how you're thinking about mix, particularly if I think about 4Q, I think I would expect that's a bit more sort of endpoint client device driven -- and then as you sort of outlined the rebound for next year as well, are you thinking -- how are you thinking about mix playing out between the higher margin solutions and sort of endpoint can you go through your --?
Paul Bay: Yes. So it will be -- I won't talk about necessarily 2025, but a little bit coming out of -- or sorry, in Q3 of this year. So, Advanced Solutions definitely saw the headwinds coming out of Q3, as Mike had pointed out and we talked about in our prepared remarks. And we do see there returning to growth. But again, partially, that's through networking getting better. Server storage continues or continue to expectations that will perform well in Q4 in addition to cybersecurity continues to be well also. I would also say cloud, if we point out cloud continues to have good growth throughout the year too. So really, the investments that we're making around advanced solutions, specialty and then cloud are definitely paying off for those investments that we've been making. And then again, the client and endpoint solutions being driven primarily by the PC refresh and the rebound coming there through Q4 and then beyond.
Operator: Our next question is from [indiscernible] with Jefferies.
Unidentified Analyst: You talked a little bit about the Xvantage journey that you've been on, and then you've also mentioned kind of your own digital transformation journey. As we kind of look ahead, where are we in the cycle for just kind of the efficiency of your internal operation initiatives at this point? And how much more can we expect?
Paul Bay: So this is Paul. So as we look out, we have 14 countries that are active countries under Xvantage. We've built on top of starting with the foundation of the investment where we talk about investing ahead of the curve in the $600 million investment we've made on our cloud and our cloud platform. So that was the underpinning for what we're building Xvantage on top of. In addition, we put nearly 30 million lines of new code on top of that. And we have almost 2 dozen patent-pending technologies over 100 AI models that we're using. And this is really about simplification, how do we simplify and take out complexity within the marketplace. And so that's about focusing on the customer and the vendor and making that as seamless as possible. With that said, as you look at kind of the architecture and how we set up the way we're going to market with our customers, our vendors is effectively moving stuff out of legacy ERPs to be able to operate in a more modern technology architecture of how we have that. So we do have the ability as we take things out of legacy ERP sunset and/or decommission some of those. So, I would say we're in the early days right now of winding down what we had before because we were running in parallel. We're 14 countries out of the 15 countries that we have in many of our large countries that are on Xvantage. So a little bit more ahead in terms of getting our customers and vendors on Xvantage with those core 14 countries as opposed to where we are with our legacy technology systems that we have today.
Operator: Our next question is from Maggie Nolan with William Blair.
Maggie Nolan : Can you give a little update on the geographic expansion that went on since you were a private company and your expectation for how that will develop from here?
Paul Bay: Yes, Maggie, I can start. This is Paul. So when we talk about kind of the reach one of our core initiatives and strategies is extending our geographic reach and capitalizing on the scale that we have. So really what we've done since we've been private is really doing skill set and/or competency acquisitions, adding whether they're acquisitions and/or organically, things around cloud, again, around cybersecurity, advanced solutions and specialty because we really already have the largest, most diverse reach from a global perspective, almost 40% in North America, roughly 30% in the EMEA region, Asia Pacific just shy at 25%, and Latin America, just shy at 10%, high single digits. So we feel good about our geographic reach. This is more about how we continue to extend and capitalize on the scale that we already have through competencies.
Michael Zilis: Yes. Maggie, this is Mike. Just 1 thing I would just add to that and building off of Paul's comment. I said in my prepared remarks, we have 1/3 of our business in growth markets, emerging markets like APAC and Latin America and then even the Middle East and Africa subset of our EMEA geographic segment. And -- those are -- the value prop of distribution is just consistently higher in those markets where you have more need for distribution in the channel to serve the needs of the end user enterprise. So that's the reason we've doubled down and grow in that emerging market presence to more than 1/3 of our business as we speak today.
Operator: Our next question is from Mark Cash with Raymond James.
Mark Cash: This is Mark on for Adam. I guess for Paul or Mike. I appreciate you're not guiding 2025 yet. But I think it would be helpful to understand how you're thinking about operating margin as we go from 4Q and into 1Q? And I asked because there was a 90 basis point decrease in 1Q this year's OpEx increased quarter-over-quarter, so should we expect a similar dynamic? Or could you kind of walk through what's changed to consider a less pronounced operating margin decrease sequentially going into 2025?
Michael Zilis: Yes. So I'll make a couple of comments. Paul might add on this, I think -- this is Mike. So Mark, I guess I would look at a couple of things here. One, we talked about the cost reductions we've made, $140 million in the first part of last year and then into Q1 of this year. And we're going to continue to look at where we have opportunities to optimize as we move forward. But we're not even -- we now have the full run rate effect in Q3 of the actions taken early this year. We're offsetting some of that with investments where we have opportunity to grow, of course, but we expect over time, and this is true in our history, most importantly, that we're going to continue to invest and grow above market in Advanced Solutions and Cloud. We're going to continue to opportunistically grow client and endpoint solutions where we can and make sure that that has the right return dynamic and profitability dynamics. So you grow cloud and advanced solutions over time faster that has an accretive impact on gross margin. And then on top of that, you're getting the efficiencies of OpEx and continuing to be able to drive even more of that efficiency over time as we continue to deploy more functionality of Xvantage and deploy Xvantage into more of our markets.
Operator: Our next question is from Chan Park with Stifel.
Chan Park: This is Shannon on for Amit. Paul, you guys talked about continuing to operate in a competitive market during the quarter. I listened to some of your reseller peers, they also talked about increasing competitive pricing around deals. Can you just parse out what areas you're seeing this dynamic play out if this is broad-based or specific to certain sectors or regions or products that be super helpful?
Paul Bay: Yes, no problem. So what I would continue to point out is that we're used to competing in a highly competitive market. Are we seeing pockets of pricing pressures, I would say it's not impacting us globally, generally speaking, as we sit here today. So there's pockets of it, but nothing, I would say, way out of the ordinary at this point that we're seeing on a global basis.
Operator: [Operator Instructions] Our next question is from Ananda Baruah with Loop Capital Markets.
Ananda Baruah: I guess, Paul, may be some context around in your cloud services, CapEx around -- we've been working with [indiscernible] what do you know excited about cloud services likes kind of big picture. That will be super helpful.
Paul Bay: All right. So you're breaking up a little bit, so I'll try and touch on it and then jump back in. You were just following it a little bit. I think what I heard on is you want to hear about cloud and cloud services and what it excites me the most. So if I take a step back in the investment again, that we've made on cloud and the success we've had, we've got over 52 million seats that are managed today on our cloud and our cloud platform. And again, that was the foundation that $600 million investment in Xvantage. The reason why I bring that up because we're in the process of bringing a single pane of glass where you're going to have hardware software and actually transact cloud in the same instance in the same single pane of glass. So I'm pretty excited about that. In addition, we announced last week on November 7 that we're working with the hyperscalers and what we're doing to be able to give visibility and integrate it in. So we actually started with AWS. There'll be more coming from being able to integrate on Xvantage and having visibility and being part of the platform. So state it another way, I just think the whole -- our average deployment of technology is made up of 6 different vendors, and it's not about the technology, it's about the business outcome that we're focused on. And so we play an opportunity in a great role as AI becomes even more enabled in the marketplace of how we can play a role to help augment and support our customers as are delivering those business outcomes. And cloud will be a very important element of that, and that's why we made the investment to bring it together to have a single experience through Xvantage, whether it's hardware, software and/or professional services wrapped around it.
Operator: There are no further questions at this time. I would like to hand the floor back over to Paul Bay for any closing comments.
Paul Bay: Thank you, and thank you to our over 24,000 team members globally for their dedication and commitment to our customers and our vendors. Thank you to our customers for the opportunity to earn your business each and every day, and thank all of you today for taking time out of your busy day to join us. Mike and I look forward to talking with you next quarter. Have a great rest of the week.
Operator: This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.